Robert William Wilkinson: Good morning, everyone. I think we'll start. Welcome, everyone, to Hammerson's 2025 Full Year Results Presentation. I've met a number of you already over the last few weeks, but for those I haven't met, I'm Rob Wilkinson. I joined Hammerson as CEO in January of this year. I'm with Himanshu Raja, our CFO, of course, who's joining me for the presentation this morning. In terms of the actual presentation itself, I'd like to start with sharing with you a couple of my first impressions of the company since I joined, obviously, looking back at the achievements and results of 2025, our outlook for '26 and beyond, I'll pass then to Himanshu to comment on the financials in a bit more detail, before some closing remarks, and then obviously be delighted to take any questions at the end of the session. So if I start, since October of last year, I made it my priority to visit all 10 of our flagship destination assets to meet with the teams. And one thing that's very clear is that the extent of turnaround that's been achieved over the last 5 years is nothing short of remarkable. And credit should go to Rita-Rose and the team for what they've done over that period. It also clearly positions Hammerson now at a situation where we can now leverage our platform and assets as we go forward. But 3 things have really stood out for me about the company since I joined. The first is the quality of our unique portfolio of retail-led destinations across the U.K., France and Ireland. We are the leading pure-play company in those markets. And today, 98% of our destinations are rated A or better by Green Street. So a fantastic portfolio. We've also got a fantastic team. We have a first-class integrated platform, which is built on a management team that is best-in-class and passionate about driving the destinations that we manage across our portfolio. This sits alongside our data-led technology platform, which provides us with customer analytics, allowing us to drive excellence and continue to outperform the market, as you'll see later. And finally, the strength of the company financially and our access to equity and debt capital markets as obviously demonstrated last year with our equity and bond issues, which were very successful and were both heavily oversubscribed. So a lot has been done, but I can assure you there's plenty more to do, plenty more to come. But I do believe that Hammerson is extremely well placed now to embark on our next phase of growth. If I turn to the results themselves for a minute, they are undoubtedly a strong set of results and ahead of consensus. Our net rental income increased by 23% year-on-year to GBP 180 million, driven by in part the JV acquisitions we undertook last year alongside like-for-like rental growth of 3%. Our earnings have increased by 5% as we've gradually reinvested the proceeds of the sale of the interest in Value Retail. Those increased earnings have generated increased dividends, up 6% year-on-year, which is reflective of that growth, but also a sign of our confidence in the future. Our portfolio is up 33%, a little above GBP 3.5 billion, and that's been driven again by those JV acquisitions alongside capital growth of 4% in the year, which itself was driven by ERV growth and yield compression in the U.K. and Ireland. That's translated into a 6% growth in NTA to GBP 3.94 at the end of the year and a total accounting return of 11%, marking a return to positive territory for the company. So very strong results overall. As I look at our key priorities as I see them, well, put simply, is to continue doing what Hammerson has done very well for several years. We will continue to drive the returns of our existing assets and portfolio. We have a strong track record of repositioning our assets and creating significant value from that, alongside leveraging, as I mentioned, our technology platform to optimize our brand mix and also enhance the customer experience at our centers. All of that will help us to continue to increase rental tension across the portfolio. Second, we will continue to maximize both the value, but also the optionality of our strategic land, either developing it ourselves, in partnership or, in certain cases, recycling capital from assets in due course. Finally, we need to scale up, and it's not about growth for growth's sake. This is about focusing on accretive, disciplined acquisitions that are consistent with our strategy, but will allow us to enhance our operational efficiencies, therefore, driving earnings growth into the future. If I look a little bit at those priorities in more detail and what we've achieved, at an operational level, it's been a very strong year as well. Our occupancy has increased to 96%. In fact, 6 out of 10 of our destinations are now above 98% occupancy, and that's led us to a shift in mindset and strategy from leasing up the assets to rent up as we look to increase the rents across our centers. We've seen an increase in footfall. So we've added 3 million visitors during the year, up to 170 million visitors across 2025. This is in stark contrast to our national benchmarks. As you can see from the chart in the middle there, the yellow are our benchmarks. They're either flat or negative compared to the growth that we've achieved. All that translates into the important things for our retailers with sales of more than GBP 3 billion in 2025. And the statistic that I particularly like is what we call the new for old. So this is taking the former underutilized or vacant anchor space within our schemes, repositioning them into new concept. And across those, we've seen an increase in sales densities for our retailers of 40% compared to pre-COVID levels. If I shift to leasing, another year of very strong performance across the leasing front, a record level of new deals at over GBP 50 million signed during the year. As you can see, at substantially above, in fact, double digits above passing rent or ERV, leading to additional rent of around GBP 260 million to first break. We've had a number of firsts across our portfolio, either regionally or first within the portfolio for the likes of Sephora, Uniqlo, M&S and Lululemon. And pleasingly, we have more of those happening during 2026 as well. 2026 has started strongly on the leasing front as well. As you can see, our pipeline of around GBP 20 million is a very positive start for the year on the leasing front as well. Our final part of driving the performance of our destinations is repositioning. And clearly, 2025 was a very active year on that front as well. If I start with Cabot Circus on the left, the opening of the M&S store in November was incredibly strong. It increased footfall in the center on the day by 50%, 5-0 percent, and M&S themselves had record sales as well. We've invested in an overhaul of the car park, installing frictionless technology, which has driven, apologies for the pun, an increase in usage of just under a quarter, so up 25% on the year in the car park. And recently, a couple of weeks ago, we opened, in a grand ceremony, the Odeon Luxe at Cabot Circus, which is the only cinema in Bristol City Center, which will help obviously drive activity further and into the evening, which then obviously has a benefit for the F&B provision within the center. We've got further openings in the center this year with Uniqlo and Sephora to come. And we've just started the regeneration of Quakers Exchange and beginning the public realm works there as we speak. So a lot has been done, but still a lot going on and a lot to come within Cabot Circus itself. If I turn to the Oracle, we obviously introduced Hollywood Bowl and TK Maxx there last year. Hollywood Bowl had their best ever opening at the Oracle. And that obviously helped footfall up 9% in the second half of 2025. Our net rental income is up 10% on the scheme and more to flow through from the upsizing of Zara and Apple within the Oracle during this year. And as many of you know, we still have the Debenhams, the former Debenhams unit within the center, on which we have multiple options, both retail, but some of you may have seen that we also got outlined planning for the residential scheme at Reading Riverside earlier this month. So again, lots to do still at the Oracle. Finally, Les 3 Fontaines in France, the extension phase there, as you will recall, is fully pre-leased to Primark and Nike. And what's really pleasing is to see the kind of halo effect of that already as we've made further lettings to an Apple reseller and to Aroma-Zone adjacent to that scheme. So Cergy is now 90% occupied, which it never has been before. But we also expect that to increase. As that scheme opens and starts to trade from Q1 next year, we expect further leasing activity from that as those retailers have opened. If I move on to the pipeline and how we look to maximize the value and optionality, as I mentioned, you've seen this chart before. We've updated it since you last saw it. So on the left-hand side, you've obviously already heard about the Bullring and Dundrum repositionings. Worth noting that we continue to benefit from those repositionings even today. In pink, obviously, already mentioned the Oracle, Cabot, and Cergy a little bit further to the right. But also to mention the completion of The Ironworks at Dundrum, which completed in October, and we are obviously in the middle of leasing that up. We've got about 1/3 leased and very strong demand for what is very good product in a tight market. Looking at the recycling side of the equation, the box in blue in the middle, we completed the sale of our last interest in Leeds a couple of weeks ago, and that completes our exit from the Leeds market entirely. So we sold the last site for GBP 6 million, slightly above book. So we've realized a total of GBP 32 million in the last sort of 18 months or so from the complete exit of our interests in Leeds. And on the right-hand side, you have our longer-term development program. So where we're looking at master planning options, obviously, and that includes Birmingham with the Martineau Galleries that I mentioned already. And actually, the Birmingham estate is almost a perfect example of a way of describing how we look at our strategic land holdings. We are clearly right in the center of Birmingham and the iconic Bullring sits at its heart. That itself is now 98% occupied. And so we've got significant spillover into Grand Central. You can just see to the right, where we've got retailers taking space within that as demand spills over from the main center itself. At Grand Central, moving on to additional opportunities, we have our Drum project, which is a great example of projects within our schemes that are integral to them. We are currently working up a mixed-use office, retail, F&B and leisure scheme at the Drum, which we'll look to take forward in the months ahead. Another part, which is integral, is at the top of this image, Edgbaston Gardens, the car park, on which we have outlined planning for 700 residential units or 1,500 student or a combination of the above. And again, these 2, as I say, are integral to the scheme and provide synergies in terms of footfall. On the bottom left, a little further afield, you have Martineau Galleries, which is a very large office and residential dominated scheme. This is a much longer-term project on which we will look to maintain control of the master planning, to maintain control of the overall environment. But ultimately, we will look to maximize value and recycle capital in due course for that project. And coming back to increasing our scale, which obviously allows us to leverage our operational efficiencies and the platform that I've referred to already. It also helps us to increase diversification and liquidity and obviously deepen the relationships that we have with our retailers. In the last 15 months, we invested just under GBP 760 million in buying out 4 of our joint venture partners at a yield in excess of 7.5%. Those deals have been significantly accretive to earnings. And as I've mentioned, we've been able to execute them without adding any management resource, so very accretive from that standpoint as well. We will continue to target further accretive acquisitions, both internal and external, so long as they are accretive to earnings and they are consistent with our strategy of investing in retail-led destinations. And finally, if I turn to the outlook for '26 and beyond, we're expecting net rental income growth of 20% next year, driven by a full year effect of the JV acquisitions, of course, but also like-for-like rental growth of between 4% and 5%, earnings growth for the year of around 15%. It will be a touch less on the EPS because of the share issue last year, and Himanshu will comment on that. We have a clear line of sight as well to our earnings into 2027 as we benefit from the leasing activity that we've had in '24, '25 and beginning of '26, and also the Cergy 3 scheme coming on board. So again, a very positive outlook as we go forward for earnings into 2027. On that note, I'll hand over to Himanshu to comment on the financials.
Himanshu Raja: Thanks, Rob. And good morning, and welcome to everyone this morning. As usual, let's just jump straight into the financials. As Rob said, another strong year of financial performance for us. Starting with the top line. Net rental income up 23% year-on-year and like-for-like growth of 3%, exactly in line with our guidance. And just unpeeling that a little bit, it was really pleasing to see the U.K. up 4%, and we had particularly strong performances both at Westquay and at the Oracle. The like-for-like in both France and in Ireland was around 2%, solid performances in our French operations and really strong performance in Dundrum, benefiting from the repositioning of 2 or 3 years ago, and also strong performance in Pavilions. Turning to the earnings line. EPRA earnings slightly above consensus at GBP 104 million, up 5%. And the key is that we saw really strong operational gearing come through with the EPRA cost ratio down nearly 4 percentage points to 35.9%. And finally, on the P&L, the IFRS profit of GBP 232 million is our first full year positive IFRS result since 2017. On the balance sheet, an increase of 33% in valuations driven by the acquisitions, yield compression as well as ERV growth, and then the beat on NTA up 6% to GBP 3.94, so I'm going to unpeel those in more detail. Credit metrics are robust. LTV of 39%. And remember, on net debt-to-EBITDA to annualize the effect of the acquisitions, which we've shown in today's release at 8.1x. So let's now turn to the earnings walk. Starting with the reported number of GBP 99 million last year. You remember, last year naturally included the contribution from Value Retail. It included the contribution from Union Square and also 2 months benefit from the acquisition of Westquay. Adjusting for those, for the like-for-like portfolio, the rebased earnings would be at GBP 76 million. And then starting from that, we saw GBP 1.4 million from the disposal of the noncore land in Leeds, like-for-like growth, the GBP 3.6 million uplift, and a GBP 35 million contribution from the acquisitions. The increase in net administration costs principally reflects inflation, but also the loss of management fees now that we own 4 of our U.K. assets, 4 of 5 U.K. assets at 100%. Net finance costs were up GBP 7 million. Really 2 moving parts there called out on the slide. The largest being the lower interest receivable of GBP 10 million as we redeployed cash into yielding acquisitions. And then the interest payable improved by GBP 3 million from the successful refinancings that we did in 2024. Turning then to the NTA. And remember, when you're looking at the NTA, the cancellation of 9 million shares from the share buyback, which we suspended at the half year as we deployed funds into the acquisition of Bullring and Grand Central, and the equity issuance, which is 48 million new shares from the equity raise. So the walk starts at GBP 3.70, earnings added GBP 0.20, as you can see on the slide. The GBP 120 million property revaluation adds a further GBP 0.23. Dividends, naturally an outflow of GBP 0.16, the GBP 82 million of dividends. And then you see the effects of both the share buyback and the equity issuance flowing through to deliver that GBP 3.94. And to valuations. As Rob said, just over GBP 3.5 billion of value today and a capital return -- and a total property return of 10%, capital return of 4%, and an income of 6%. And just going left to right, starting with the U.K., the U.K. was up 13%, benefiting from an average 21 bps yield compression. And we saw that coming through at Bullring, we saw that come through at the Oracle and at Cabot Circus, really underscoring the benefits of the repositioning. And it was pleasing to see ERVs up also 3% in the U.K. France total returns were 5%, really driven by income growth, while yields were stable. And Ireland posted a 12% total return with 20 bps inward yield compression and a 4.5% growth in ERV, really reflective of the fact that our Irish assets are 99% occupied. And finally, on developments, a 14% return, which includes the uplift from the discounts that we achieved on the land elements of our joint venture acquisitions. So just to close on this slide and to share with you our reflections on ERVs and yields. Whilst we saw ERVs up 3% in 2025, there is more to come as there's a lag here in values fully reflecting the leasing spreads coming through on ERVs. And to yield compression, you can see on the right-hand side of this chart, the range of yields today compared with where the peak yields were in 2016, 2017. And on the far right, you can see the 5-year swap rates. And whether you compare the yields today to those at peak, or to the spread to current swap rates, they continue to look elevated. And therefore, it was really pleasing to see the tightening of yields coming through in the U.K. and Ireland as the sector became much more attractive to that wider pool of investors. The balance sheet. We've been very disciplined in our capital allocation in 2025. We've seen strong support from both equity and debt markets. And during the year, we saw our credit ratings strengthened from both credit agencies. Our credit metrics remain robust and are fully aligned to maintaining a strong investment-grade credit rating. We are in a good place at this point in the cycle. Liquidity remained high at GBP 1 billion, and our refinancings in 2024 and in 2025 have largely addressed the upcoming maturities. And since the year-end, we've repaid a further GBP 104 million of debt from cash on balance sheet, and you'll see in the additional disclosure at the back, the resulting maturity chart. So moving to my last slide and more detailed guidance. We expect EPRA earnings growth of 15% to around GBP 120 million with EPS growth of around 10%, taking account of the equity issuance. In terms of the key line items, we are forecasting an acceleration in our like-for-like growth to 4% to 5% and total NRI growth of around 20%. Our flagships gross to net will be at around 80%, and we will maintain administration costs broadly flat through continued strong cost control, notwithstanding the loss of around GBP 1 million of annualized management fees following the JV acquisitions. It was pleasing to see our EPRA cost ratio come in around 4 percentage points. And as you look forward with the growth included for both '26 and 2027, we expect to see the EPRA cost ratio come down by 3 to 4 percentage points in each of 2026 and in 2027, such that in 2027, our EPRA cost ratio will be below 30%. Net finance costs will be about GBP 60 million from the lower cash balances after the acquisitions and falling rates, partly offset by the higher interest from the October 2025 bond issue. And then finally, to CapEx. We expect to spend around GBP 30 million to complete the repositioning at Cabot Circus, the Oracle and Cergy 3. And our ongoing asset management leasing CapEx, we guide to about GBP 34 million. Philosophically, we always seek to fund that from FFO after dividends, and we'll be in that position starting in 2027. And then finally, to the dividend. The dividend has increased this year with earnings. Our payout ratio remains 80% to 85%. And of course, with growing earnings, we grow dividends. With that, back to Rob.
Robert William Wilkinson: Thanks, Himanshu. Just to conclude then, we will clearly remain focused on capitalizing on Hammerson's strengths. We will look to continue driving returns from the existing assets and portfolio. We'll look to scale up in order to really use the operational leverage that is inherent within our platform. All of that, alongside what you've heard from Himanshu, gives us great confidence in the future. And we've got, as I said, a very clear line of sight to our earnings growth in 2026, which is strong, but also into 2027. So I'm very excited about where we are in Hammerson's journey and as we embark on our next phase of growth. Thank you for listening, and I'm very happy to take any questions. Thank you. There's one here in the middle.
Bjorn Zietsman: Bjorn Zietsman from Panmure Liberum. Himanshu, just a question on the earnings walk. So if we sort of strip out the VR disposal benefit and the NRI acquisitions, the adjusted EPS -- adjusted earnings number would have actually gone backwards. So I guess my question is, over the past 2 years, how much benefit has come from project repositioning or asset repositioning like the Bullring? And do you have to do more deals in the future to continue to drive earnings beyond FY '26?
Himanshu Raja: What you've seen, Bjorn, is, if you reflect back on the repositionings being with Bullring and Dundrum, there's always a lag before that comes through. With the completion you now see at both Cabot and Oracle, which will complete and is fully funded in our guidance in 2026, that's where you now begin to see that acceleration coming through in the NRI. And that's across the board, not just in the U.K. We see it coming through from the lease-up at TDP, where it went through a 10-year anniversary cycle last year. You'll see it coming through on Cergy, and we continue to see that coming through. So largely, the repositioning have been complete, and we're now reaping the benefits of the investments we made, both in lease incentives and in CapEx now coming through.
Thomas Musson: It's Tom Musson at Berenberg. Clearly, good results today. Can I just ask, in your November trading update, you talked about medium-term guidance of an 8% to 10% EPS growth CAGR. Today, you sort of mentioned to expect further growth in EPRA earnings in FY '27 and beyond. Just wondering if that 8% to 10% outlook in the medium term on earnings still holds?
Himanshu Raja: Tom, that was based, if you recall, at the time following the disposal of Value Retail, so it was based off the 2024 rebased earnings, which was GBP 76 million shown on my slide on the like-for-like portfolio. So projected forward on a 5-year CAGR, that still holds. It was off that '24 base.
Maxwell Nimmo: It's Max Nimmo here at Deutsche Numis. Just you're talking about scaling up, but it needs to be accretive. Just as you kind of look around the sort of your universe as it were, where do you see the kind of most accretion that you can find? Is it within the U.K. and extracting value from that strategic land? Or do you think actually maybe we go to further into Europe here where we can find higher yields and tighter financing? Just any views you have from that perspective.
Robert William Wilkinson: Sure. I'll answer that to a degree, Max, and certainly come back later in the year with perhaps a little bit more precision. In short, today, across pretty much all the European markets, there is a spread between the yields at which you can acquire and the cost of debt. And of course, there's differential, as you mentioned, between U.K. and Europe. I see both of those as being attractive. But I think what will drive our acquisition strategy going forward is really about specific situations of assets that we like and where we can actually create further value through repositioning as we've demonstrated so far. So just the spread of markets themselves doesn't provide the answer to the question, you've got to look at the specifics of each opportunity. What I've said to the team so far is that having been through a period over the last 5 years where the company has had to do certain things to ensure that it continues, our focus now is we should be choosing what we do and where we do. And so we're spending some time looking at that, looking at the opportunity set across the markets in Europe. And as I said, we'll come back later in the year to give more commentary on that.
Oliver Woodall: Oli Woodall from Kolytics. Just kind of following on from that, if an acquisition opportunity does present itself, what is your appetite given LTV has come up? And is that -- you're going to provide color later on the same?
Robert William Wilkinson: No. I think, look, we'll be open to acquisition opportunities if and when they present themselves. We will not sort of necessarily wait. If the right opportunity presents itself, we will act. In terms of the second part of your question, which Himanshu may comment on as well, we're comfortable with where we are in terms of our balance sheet metrics. We've got our guardrails that we want to stick within. I think it's important to note, last year, obviously, we were able to demonstrate the ability to combine both equity and debt to fund acquisitions, and that's certainly we would look to do going forward. But there are other avenues as well of funding acquisitions that could be in partnership again, could be through recycling capital from some of the disposals. So I think we certainly will be open to acquisition from now, and we'll be looking to stay within the kind of metrics that we have today from a balance sheet standpoint.
Himanshu Raja: I would add that the acquisitions that we've done in 2025 have been a net credit positive. From a credit agency perspective, you saw both credit ratings strengthen. And that was just a reflection that we now have rental-driven EBITDA streams, not joint venture distributions under our control. So you'll continue to see, as you run the numbers, that net debt-to-EBITDA strengthening as you go into 2026 and 2027.
Oliver Woodall: Okay. That's clear. And then one more on the tenant health of -- well, across your portfolio. I don't know if you give an occupancy cost ratio number anymore, or if there's any color you can give how that's looking across the different geographies?
Robert William Wilkinson: Sure. Do you want to comment on the OCR side?
Himanshu Raja: Yes. Tenant health overall remains robust. The OCRs now across U.K., France and Ireland are in their mid-teens. And actually, rent to sales only now makes up about 10% of the OCR. Rates, where there's a lot of talk about rates, represent about 2% to 3%. And across our portfolio, with the 2026 revaluation, we'll actually see the multipliers come down. So on average, across the portfolio, we'll see an 8% to 10% benefit on rates coming through for occupiers. So it's more national insurance and other costs that the occupiers worry about rather than rent to sales or rates.
Tom Berry: Tom Berry from Green Street. Just the French macro picture looks a little bit weaker at the moment and indexation expected to be on the lower side next year. How does that kind of play into your guidance for 2026?
Robert William Wilkinson: Well, it's fully factored in, obviously, in terms of the outlook guidance that we provided. It's a market that has much lower volatility and has much lower cost of finance. And therefore, it's still a major contributor to our earnings today and going forward. But obviously, we'll keep a watching eye on what happens in France. Himanshu, anything else you want to add?
Himanshu Raja: Yes. And I would just add that, that acceleration of the NRI growth of 4% to 5% equally applies to France. So indexation, as you say, really is pretty much 0 for 2026, but it's the benefit of the lease-up at TDP and the opportunities that Rob has already talked about at Cergy that really begin to come through on the '26 numbers.
Robert William Wilkinson: Anyone else in the room? Okay. I don't know if there are any questions that have come through? Yes, I think so. Josh?
Josh Warren: Nothing that we haven't already covered. So in the interest of time, Rob, if you'd like to draw a conclusion, I'll just remind everyone, we've obviously got a short turnaround, so please do move back to the drinks area.
Robert William Wilkinson: Thank you, Josh. Look, again, just thank you for being here and for listening. Sorry.
Josh Warren: Apologies. Apparently, we have some questions on the phone line.
Operator: [Operator Instructions] We will take our first question from Veronique Meertens from Kempen.
Veronique Meertens: Just 1 -- 2 questions. One, again, about those investment markets. I appreciate that you can't go into full detail, but just maybe from an overview perspective, do you see more opportunities arising or more discussions over the last few months? Or do you feel that investment markets are still a bit in a lockdown across your 3 different geographies?
Robert William Wilkinson: Thanks, Veronique. The short answer is that we do anticipate further investment activity and growth during 2026. I think a number of potential sales have been headlined already, and we do expect those to come through during the course of 2026 in the U.K. I think in general as well, the environment for investment is likely to improve slightly in 2026 as interest rates potentially continue to come down gradually and investor sentiment across Europe has started to improve. So I think we'll see what's happened already a little bit in the U.K. start to spread into Europe as well. So in short, we expect there to be further investment activity, and we will certainly be looking at that.
Veronique Meertens: Okay. Perfect. And then one other question. So you obviously have quite a positive outlook, both from improved top line and bottom line. So I'm just curious what would you say is the biggest challenge for Hammerson in 2026?
Robert William Wilkinson: I think the biggest challenge actually are sort of factors that are somewhat outside of our control. So it's really coming back to particularly the U.K. macro picture, perhaps France as well and the impact that has on consumer. I think those are probably the potential headwind risks that we face more than anything that's sort of specific to our portfolio. So yes, overall consumer.
Operator: Thank you. It appears there are no further questions. I'd now like to turn the conference back to Rob for any additional or closing remarks. Please go ahead, sir.
Robert William Wilkinson: Okay. Well, no, just once again, thank you all for listening. As I said in summary, a very exciting time for Hammerson. So again, thank you for coming here for your questions and look forward to seeing you further. Thank you. Thanks all.